Operator: Good day, and thank you for standing by. Welcome to the Ironwood Pharmaceuticals 2Q 2021 Investor Update Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Matt Roache, Director of Investor Relations. Please go ahead. 
Matt Roache: Thank you, Wendy. Good morning, and thanks for joining us for our second quarter 2021 investor update. Our press release crossed the wire this morning and can be found on our website. Today's call and accompanying slides include forward-looking statements. Such statements involve risks and uncertainties that may cause actual results to differ materially. A discussion of these statements and risk factors is available on the current safe harbor statement slide as well as under the heading Risk Factors in our quarterly report on Form 10-Q for the quarter ended March 31, 2021, and in our future SEC filings. All forward-looking statements speak as of the date of this presentation, and we undertake no obligation to update such statements. Also included are non-GAAP financial measures, which should be considered only as a supplement to and on a substitute for or superior to GAAP measures. To the extent applicable, please refer to the tables at the end of our press release for reconciliations of these measures to the most directly comparable GAAP measures. During today's call Tom McCourt, our CEO will provide a brief overview and review our strategic priorities and commercial performance of LINZESS. Jason Rickard, our Chief Operating Officer will then review our second quarter financial results and provide updated guidance for the year. Mike Shetzline, our Chief Medical Officer will also be available for the Q&A portion of the call. We will be referring to slides via the webcast. For those of you dialing in please go to the Events section of our website to access the slides. With that, I will now turn the call over to Tom.
Tom McCourt : Thanks Matt. Good morning, everyone and thanks for joining us today. We had a very impressive second quarter driven by double-digit LINZESS prescription demand growth. As a result of the company's strong commercial performance, we are raising our financial guidance for the fiscal year 2021, which Jason will cover in more detail later on the call. Working alongside, the highly talented Ironwood team we continue to execute against our strategy of maximizing LINZESS, building our innovative GI Pipeline and delivering sustained profits and generating positive cash flows. I'm very proud of everyone's work thus far in 2021 and continue -- as we continue to strive to redefine standard-of-care for patients and drive value to our shareholders. Now let me share a brief overview of our strategic priorities. First, we are proud that in the second quarter LINZESS delivered 14% prescription demand growth year-over-year and US net sales of $259 million. Reinforcing this position as the number one prescribed brand in the US for the treatment of adults with IBS-C and chronic constipation. We are also pleased to report that LINZESS brand prescription growth increased 26% versus second quarter last year, a record high demonstrating that a growing number of health care practitioners are choosing LINZESS for their patients. Second, we continue to advance our efforts on building our GI portfolio. We are maintaining a disciplined approach to exploring LINZESS innovative GI assets by applying a focused set of predefined criteria and setting the bar high for any potential deals that we may consider. We believe this approach will drive our success further faster and provide great benefit to patients we can serve. On IW-3300, our wholly-owned asset for the potential treatment of visceral pain conditions. We remain on track to submit an IND by the end of this year and expect to begin a clinical program in early 2022. And third, we delivered significant growth on the bottom line and had another quarter of strong cash flow generation. We ended the second quarter with $493 million in cash and cash equivalents on the balance sheet, providing us with the financial flexibility to execute on our strategic priorities for the remainder of the year and beyond. We continue to take a thoughtful and disciplined approach to capital allocation in an effort to maximize return to our shareholders as we aim to bring innovative therapies to GI patients. Turning to a few corporate updates, I was honored to be appointed Chief Executive Officer by the Board of Directors this quarter. Since joining the company in 2009, I've been consistently impressed by the organization's talent and focus on our strategic priorities and our mission to redefine standard of care for the GI community we faithfully serve. I look forward to building on our successes as we move forward. I also want to mention that Jason Rickard, our Senior Vice President and Chief Operating Officer was designated Principal Financial Officer, which was previously held by Gina Consylman our former CFO. We're appreciative of Jason taking on this additional role in the interim, while we conduct a comprehensive retained search process to identify our next CFO. In addition, Ron Silver our Corporate Controller was designated Principal Accounting Officer; and John Minardo, recently joined Ironwood as Chief Legal Officer. We're thrilled to have John join the team and have Ron take out his new role. Now let's move our focus to the commercial performance of LINZESS. LINZESS performed exceptionally well in the second quarter. As I mentioned a few moments ago, prescription demand growth grew 14% year-over-year. LINZESS continues to be the market leader within this category with 42% total market share and at the end of the second quarter, an all-time high for the brand. LINZESS brand prescription growth increased 26% from the second quarter of 2020, which also is an all-time high. In addition, we saw a 13% increase in new prescribers in the first half of the year versus the same period a year ago. We believe our second quarter performance is driven by a few key factors. First, the growth we are experiencing in the US continues to be the result of strong execution of our commercial strategy and the positive experience that patients and physicians have had with LINZESS. We also benefited from broad payer access and reimbursement. Second, we believe we benefited significantly from our sales and marketing efforts including our refreshed consumer campaign, which incorporates the IBS-C overall abdominal symptom data. Also our in-person sales calls to health care practitioners throughout the quarter are now returning and nearing pre-COVID levels. Third, we continue to see year-over-year increase in online searches and clicks for constipate-related terms. And we're also seeing higher traffic to the LINZESS website suggesting more patients are seeking treatment options for their IBS-C and chronic constipation. Finally, we continue to see encouraging signs of market growth, which may be attributed in part to an increase in adult IBS-C disease prevalence including IBS-C. Data from the National GI Survey II, showing increased IBS prevalence were presented at the DDW meeting in May. Looking ahead, we're on track to exceed $1 billion in US net sales in the near term. Our strong performance in the quarter coupled, with additional life-cycle management opportunities reinforce the long-term growth potential for the brand. In the second quarter, the American Journal of Gastroenterology published full results from our Phase IIIb clinical trial, evaluating LINZESS 290 mcg on multiple abdominal symptoms in adult patients with IBS-C. The results demonstrated linaclotide 290 mcg administered orally once daily to adult IBS-C patients, was associated with a statistically significant and clinically meaningful improvement and overall change in abdominal score, which comprises the symptoms of bloating, pain and discomfort compared to placebo. We reported top line results for this trial in June 2019, and following the US FDA approval of a supplemental NDA-based on the date of this trial, the LINZESS US prescribing information was updated in September last year, to reflect the clinical impact of LINZESS to having an overall abdominal symptoms in adult IBS-C patients. Research has shown approximately 95% of surveyed adults with IBS-C report experiencing bowels abdominal bloating, pain and/or discomfort. With the majority reporting, they experience these symptoms once a week or more, our data suggests that LINZESS may provide meaningful improvement of overall abdominal symptoms associated with IBS-C, a condition that impacts an estimated 11.5 million adults in the US. Moving along to an update on our IP. Ironwood along with AbbVie entered into a settlement agreement with Teva Pharmaceuticals, providing a license to Teva for it's generic version of the 72 mcg LINZESS in the US beginning March 31, 2029 subject to FDA approval and certain other limited customary exception. With this settlement agreement, we have settled with the filers of all known ANDAs to-date seeking approval to market generic versions of LINZESS, and preserve the majority of the LINZESS patent coverage for all three dose strengths. As we look ahead, we understand that GI diseases affect one in five Americans and remain a large unmet need with a highly symptomatic patient population. These diseases can be severe and debilitating and often have limited or no treatment option, creating urgency around the need for new and innovative treatments. Our experienced and specialized team continues to focus on pursuing innovative assets in GI diseases with a significant unmet need and strong scientific rationale. We're committed to generating more value-creating opportunities to leverage our strong GI capability and experience now and in the future. I would like to thank all of our employees, patients, caregivers and advocates in the GI community for their shared dedication in this underserved market. I'll now turn the call over to Jason to review our financial performance. Jason?
Jason Rickard: Thanks, Tom. It is pleasure to be on the call this morning to discuss our strong second quarter results. I have three main updates to provide. First, I'll walk through our second quarter financial performance. Then, I'll discuss our capital allocation strategy. And finally, I'll review our updated financial guidance for the year. Please refer to our press release for our detailed financial information. In the second quarter of 2021, Ironwood revenues were $104 million, which were up 16% year-over-year driven primarily by LINZESS US collaboration revenues of $100 million also, up 16%versus the second quarter of 2020. Let's move US net sales grew 18% compared to the second quarter of 2020, driven by robust prescription demand growth and favorable inventory channel fluctuations, partially offset by net price aversion. For the balance of the year, we anticipate healthy prescription demand and we continue to expect mid-single-digit net price erosion. We also expect fewer channel fluctuations versus the prior year resulting in a dampening of net sales growth for the second half of 2021, when compared to the first half of the year. Turning to LINZESS brand profitability. Commercial margins in the second quarter was 72% versus 75% in the second quarter of 2020. I'd like to point out that, the lower commercial margin versus last year was primarily a result of an increase in selling expense in the second quarter of 2021 versus the second quarter of 2020, but we did not execute as many in-person details due to the COVID-19 restrictions. As you may recall, our selling expenses related to virtual call details and overhead during the first two quarters of 2020 were adjusted in the fourth quarter of last year. Before moving on, I'd like to provide an update on an accounting item reflected in the second quarter's results. The release of our valuation allowance against the majority of our deferred tax assets, including the net operating loss carryforwards from losses incurred by our business through 2019 resulted in a one-time recognition of an income tax benefit of $338 million in Q2, and a $338 million non-current deferred tax effect that is expected to be used to offset future cash taxes. It's important to note that, this valuation allowance release is a non-cash, non-recurring event and as such is reflected in an adjustment to our non-GAAP net income. Please refer to our quarterly filing for more information about the valuation allowance release. Now to Ironwood's profitability, we delivered GAAP net income of $391 million, which includes the $338 million non-recurring income tax benefit associated with the release of the valuation allowance that I just mentioned. Adjusted EBITDA was $65 million, up $32 million versus the per-year quarter. Moving to cash and capital allocation priorities. In the second quarter, we generated $49 million in cash flow from operations and ended the quarter with $493 million in cash and cash equivalents, up from $363 million at the end of 2020. We maintain a disciplined and thoughtful approach to capital allocation. As you know in the second quarter, our Board authorized a share repurchase program under, which the company may repurchase up to $150 million of it's outstanding shares of common stock through December 2022. Although, we did not repurchase any shares in the second quarter, we continue to remain committed to deploying capital in support of our strategic priorities where we believe we can drive the greatest value for our shareholders. Now, let's review our updated 2021 guidance. As Tom highlighted earlier, as a result of the strong growth of US LINZESS prescription demand we are raising our 2021 financial guidance. We now expect US LINZESS net sales growth of 6% to 8%, which is up from our previous guidance range of 3% to 5%. Total Ironwood revenue of $390 million to $410 million, which is up from $370 million to $385 million, and adjusted EBITDA of greater than $210 million, which is up from greater than $190 million. We believe our continued financial performance, strong balance sheet, and disciplined and purchase to capital allocation positions us well to continue to invest in our business and pursue additional opportunities in the GI space. I'll now turn the call back over to Tom.
Tom McCourt: Thanks, Jason. I'm extremely proud of our performance this quarter and the team's continued dedication to our vision of becoming a leading GI healthcare company. We're looking forward to continuing our momentum in the upcoming months within neurogastroenterology meeting later this month as well as the Ironwood team would also be attending the Wells Fargo Healthcare Conference and the Morgan Stanley Global Healthcare Conference in September as well as the American College of Gastroenterology meeting in October. We look forward to speaking to all of you then. Operator, you may now open up the line for questions.
Operator: [Operator Instructions] Your first question is from the line of Eric Joseph with JPMorgan. 
Hannah Adeoye: Good morning. This is Hannah on for Eric. Thanks for taking the question. Just a couple from us. So with LINZESS now on pace to reach over $1 billion in revenue in 2021. Just thinking about what do you now see as the peak sales potential of the product and how much headroom do you currently see with respect to market share growth? 
Tom McCourt: Yes. I think -- thank you. And it's -- we're remarkably impressed with how the growth is accelerating. As you've seen there's been a clear inflection point of the brand. And the outlook looks very promising. I mean, if you think about it there's still 30 million patients out there suffering, we treated less than 10% of those patients. So there's a lot of room to grow. The other thing that we're also believe is this tremendous increase in activity of patients raising their hand looking for help and leveraging the web activity as well as telemedicine to give care all of which is I think boosting what we're seeing in the marketplace. So I think we're very encouraged of kind of where we are and where we're going. I think we certainly see the brand growing significantly over $1 billion in sales. And a lot of it now becomes how do we continue to invest in the brand to continue to push that growth as well as pulling through some of the large life cycle management programs such as the pediatric program, which is a very large underserved community where there's no approved drugs really right now. So we're -- I think as far as long-term, we haven't provided those numbers yet, but I think we're far more encouraged right now than we were a year ago. 
Hannah Adeoye: Great. And so just thinking a little about timings for BD. So last quarter you announced the $150 million share buyback through 2022. So can we assume that this will be the primary focus for surplus cash during this timeframe? And what time line do you have in mind for potentially selecting new pipeline candidates? Maybe -- yes looking at few years ahead just what do you see the pipeline looking like? 
Jason Rickard: Great. Thanks, Hannah for the question. And I mentioned it in the script a bit I'll reference our capital allocation strategy. We believe we're in a fortunate position to be able to invest behind building test brand to continue the growth that Tom outlined. As you know, we have a desire to continue to grow the GI portfolio with innovative assets for organic GI disease and to generate cash and sustain profitability. And we'll continue to assess those opportunities and make judgments about how to allocate capital over that period. And we don't see the announcement of the share buyback program as contrary to any of those priorities and we believe we can execute against each of them in the way that's going to create value for shareholders. When it comes to product development, we maintain a high bar, but we also see a lot of opportunity in the GI space and there's innovation out there. And we believe we've got the right team to be able to assess those assets attract them and possibly then in the case that we find something that's attractive. I can't speculate on the timing of that. As you know deals take their own form. So we'll be updating as we go on the corporate development front. 
Hannah Adeoye: Great. That’s helpful. Thanks for taking the questions.
Jason Rickard: Maybe next question?
Operator: I am sorry. I was on mute. Your next question is from the line of Tim Chiang [ph].
Unidentified Analyst: Hi, Tom
Tom McCourt: Hi, Tim. 
Unidentified Analyst: Good quarter by the way. I jumped on late so I apologize if this question's already been asked. But I sort of look at your updated guidance, US investment sales growth around 6% to 8% for this year. And that's still materially lower than what AbbVie has been reporting in terms of sales growth. Could you just, sort of, talk about that a little bit? And I apologize if you've already explained that. 
Tom McCourt: Well, Tim I think we're very much aligned with AbbVie. We work side by side. We've set the targets on a quarterly basis and update the year end and long-range plan quarterly. So we should probably go back and check what they put out. But as far as our guidance we had previously provided the 3% to 5% net sales growth and we're -- as Jason mentioned raised up to 6% to 8%, which is a pretty healthy increase. So we're certainly all pleased with the growth we're seeing, but we should be pretty consistent. So Phase II the heads up we'll certainly reach over to AbbVie to make sure we're talking the same language. 
Unidentified Analyst: Well, Tom, I'm just referring to the fact that I think AbbVie reported what 18% year-over-year US net sales growth in the second quarter that right? 
Tom McCourt: That's true. Go ahead. 
Jason Rickard: Just to clarify it's 15% year-to-date versus we're guiding to 6% to 8% full year-on-year. And reference my comments in the script related to lower inventory in the second half of the year dampening the net price growth over that period. 
Tom McCourt: So basically we think we saw a boost this quarter due to how the inventory is being managed out where as you know it was seasonal in the past where we saw a burn in the first half of the year and then they would accelerate the inventory in the best -- back end of the year. And what they've been doing is keeping them more levels at predictable inventory which makes it easier to kind of predict where net sales will land. But you're absolutely right. For the quarter it was 18%, but that was a combination of the 14% demand growth as Jason mentioned as well as the boost in the inventory which was partially offset by net price erosion in the mid-single digits.
Unidentified Analyst: And how do you see the demand growth? I mean, do you see this sustainable, at around 14%?
Tom McCourt: Yeah. I mean, I think this brand continues to surprise us as far as, it's growth. I mean as you know, you do not see many brands like this in categories, where we see linear growth that we have been seeing. And you think about we were looking at 10 -- 11% growth a couple of years ago. But really for the last four years in a row, we've seen north of 12% demand growth and this year is going to be more than that we believe. So the branch has continued to perform. And I think, as I mentioned earlier, when I look at the tens of millions of patients that are still out there suffering and we've only treated 10% of the patient population. And I don't see a real competitor in the future it's believable that we're going to continue to see this kind of growth over guidance.
Unidentified Analyst: Okay. Good. Good place to be.
Tom McCourt: Yeah. We're providing.
Unidentified Analyst: So thanks for the comment Tom.
Tom McCourt: Thanks, Tim.
Operator: [Operator Instructions] And your next question is from the line of David Lebowitz.
Avatar Jones: Hi. This is Avatar Jones on for David. My question is in regards to the volumes. And I apologize if I missed, but where are those coming from? Is that impacted by the Phase 3 publication? Is this just something more organic? Is it 90-day scripts? Can you sort of provide some color on that? Thank you.
Tom McCourt: I would state -- It's probably all of the above. I do think, certainly we're seeing a higher level of activity, by the patient. When we talk about the activity as far as online searches as well as I mean, we're seeing 400,000 and 500,000 unique visitors a month to our website which is really strong, which is showing ongoing growth. So I think part of it is an overall awareness of the disease, I think is the ability of patients to raise their hand. I do think to your point what we see is when we get patients on, 90-day scripts there's better adherence to therapy, because they realize the full benefit of the drug. And I do think this ability to describe multiple abdominal symptoms as opposed to just abdominal pain, really speaks to a broader community who now are raising their hands. So I think it's probably all of those things. And they're all kind of growing very nicely including the overall awareness, but we still have work to do here, when you look at unaided awareness, it's still around 10% to 12%. So there's still an awful lot of opportunities to make patients aware that there is a better treatment option out for them -- out there for them that we need to continue to push on.
Avatar Jones: Understood. Thank you. And I had a follow-up question. I know there's been a question asked on business development. But just are there any specific therapeutic areas of interest? And can you sort of provide us guidance us as to what intrigues you?
Tom McCourt: Maybe I know Mike Shetzline is online here. And he's leading the charge and kind of looking at the GI terrain. We've seen a lot of opportunities. But where we are focused right now, in molecules we are currently evaluating. Mike, would you comment on that?
Mike Shetzline: Sure. Sure Tom. Thanks. So firstly we're obviously addressing the medical needs of patients suffering from GI diseases and disorders. And we're really trying to prioritize those that are really managed by the gastroenterologists, with a particular focus on organic diseases where we kind of know the mechanisms and we can really do clear and decisive proof-of-concept studies, because we want to target innovation. And we also want to be first-in-class best-in-class with differentiated opportunities. And we do think to Tom's point, we have a great opportunity list, so to speak. The disease areas are we're not trying to boil the ocean, okay, but we do have a fair amount of opportunity given the medical need. But things like, liver injury or liver failure, there's a huge medical need in the hepatology space. Celiac disease is another very hugely underserved population. You may hear that, people feel that it can be cured with a gluten-free diet. I mean it is true patients can benefit from a gluten-free diet. But if you talk to patient groups, they are really underserved. And still have a lot of morbidity-related to silicosis, so a huge opportunity there. There are other entities like pruritus. Pruritus is itch, right? It's actually an indication for liver transplant. So a huge medical need there from a liver function perspective. And something like, pancreatitis. Pancreatitis is bread-and-butter medicine, but a GI disorder that really has no medical therapies. Today, still when a patient comes into the hospital with pancreatitis, they get IV fluid and pain management. That's quite sad, when you think of all the innovation in this space, you have immunology and inflammation. And then things like, even rare diseases a lot of rare diseases are hepatology in origin. So we really do have a broad landscape and a lot of opportunity. But as mentioned, we really have a high borrower. We want to make sure we make the right choice, at the right time.
Avatar Jones: Thank you. Thank you. Much appreciate it.
Tom McCourt: Thanks Mike.
Operator: And at this time, there are no further questions. I would like to thank everyone for joining today's call. You may now disconnect.